Operator: Please standby, your meeting is about to begin. Good morning, ladies and gentlemen. Welcome to the BCE Q2 2019 Results Conference Call. I would like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Donna. And good morning to all on the call. With me here as usual, are George Cope, BCE's President and CEO, and Glen LeBlanc, our CFO. Also joining us this quarter, and going forward on all quarterly conference calls is Bell's COO, Mirko Bibic. As a reminder, our Q2 results package and other disclosure documents including today's slide presentation are available on BCE's Investor Relations webpage. However, before we get started, I want to draw your attention to our Safe Harbor statement on slide two. Information in this presentation and remarks made by the speakers today will contain statements about expected future events, and financial results that are forward-looking and therefore subject to risks and uncertainties. These forward-looking statements represent our expectations as of today, and therefore are subject to change. We disclaim any obligation to update forward-looking statements, except as required by law. So, with that over to George.
George Cope: Great. Thanks Thane. Good morning everyone, hope everyone's enjoying the summer. I'm just - I'm going to flip to page four. Just before I begin, I want to welcome Mirko to our call today. As I think everyone knows, Mirko is currently, our Chief Operating Officer and will become CEO at BCE on January 6, upon my retirement from BCE on January 5 next year. Mirko, and I have worked side-by-side, for the past years both strategically and operationally. Our company and your company will be in great hands going forward, as we continue this evolution to being Canada's broadband leader. And we're going to also get a chance this morning here from Mirko on our results in a few minutes. Turning to a few highlights, broadband net adds for the company were very strong, up 25% year-over-year. We had record wireless net adds up 30% year-over-year. Our fibre footprint acceleration and strategy continues to pay off, where we saw growth in fibre net additions, up 10% year-over-year. Our footprint has now surpassed 50% of our overall fibre rollout at 4.9 million locations. Media had a very strong quarter, up close to 24% from an EBITDA perspective. And overall, truly strong profitability growth adding to that is the decline in capital intensity ratio, we talked about a year ago, driving free cash flow of 10% in the quarter and year-to-date 13%. In my opinion, we had an exceptional quarter. I frankly was trying to remember, I cannot recall when the company has actually beat the Street on estimates of revenue, EBITDA, EPS, free cash flow and net additions, all in one quarter. And just to round it out that it has only happened - it has not happened before, also includes an NBA championship the top it all off. So, with that let me turn it over to Mirko, to take you through the highlights of the quarter.
Mirko Bibic: Thanks, George. And good morning, everyone. Very pleased to be on this, my first quarterly analyst call since the announcement that I will be assuming the position of CEO, next January and goes without saying, but it is - I should - I need to say that is a profound honor to lead this great company, and I'm grateful for the confidence that our Board, George and the Bell executive team has shown in me, and for the opportunity to have partnered with the CEO as esteemed as George, all these years. I'm certainly excited for the opportunity to work with the Bell team across the country, to keep propelling our company. Also, look forward to meeting and collaborating with both the analysts and buy side communities in the quarters and years to come. So, before Glen goes over the financial results for the quarter, I will provide a quick overview of our Q2 operating metrics by segment, I'm going to start on slide six with wireless. Really excellent wireless operating results overall. We delivered our best Q2 subscriber performance in 2018 years with 149,000 new net customers added, postpaid net adds totaled 103,000, the year-over-year reduction was a direct result of fewer customer additions from our long-term federal government contract. But, excluding the federal government contract, postpaid net adds were higher compared to last year, reflecting Bell Mobility's network leadership, strong sales channel execution and lower postpaid churn. In fact, Bell branded churn was under 1% for a second consecutive quarter. It's clear that our investments in customer retention and the quality of our mobile services are resonating with Canadians. On the prepaid side, we continue to see great results, both Lucky Mobile and our new exclusive retail distribution deal with Dollarama are doing what we expected them to do strategically in the market, helping to drive 46,000 net adds this quarter. This compares to a loss of 8,000 last year. Clearly, we're taking market share in this segment and over time, we hope to convert many of these customers over to postpaid service. Blended ABPU increased a healthy 1.6% and this reflects growth from customers selecting higher value rate plans, and having more premium smartphones in the sales mix. And turn a little bit - couple of comments on the network side, we continue to roll out LTE-Advanced service, now available to 94% of Canadians, and notably 60% of the population will have access to speeds of up to 750 megabits per second, but enjoying more typical speeds in the range of 25 megabits to 220 megabits per second, which is really incredible by any global standard. And it's now well recognized and acknowledged that we have globally leading networks and this is a key reason why. I'm also pleased to report that Virgin Mobile topped every wireless carrier in Canada from a J.D. Power ranking perspective for third consecutive year, as a number one in overall customer service, in the eyes of consumers, a very strong result and congrats to our Virgin Mobile team. On the 5G side, testing is well underway with network trials, we're very well positioned, given our wireline fibre investment with 85% of all our urban and rural cell sites having high-speed fibre backhaul capability, by the end of this year. But, as everyone knows we also need 3500-megahertz spectrum to bring Canada into the true 5G world, and as you all know, that auction is scheduled for 2020. I'm going to turn now to slide seven, and wireline. We're pleased with total retail Internet net adds of just over 19,000 in what is a seasonally low quarter for the consumer wireline business, that's up 52% over last year. And in terms of new FTTH customers, we saw a 10% growth with 52,000 new adds. So, we're really seeing the strategic benefit of our direct fibre investments. We're offering the fastest Internet speeds of 1.5 gigs, we're growing our broadband market share and we have better customer retention. In fact, our speed advantage has been confirmed in independent testing by PCMag, who recently ranked Bell Company as Canada's fastest ISPs for a second year in a row. On network as well -- wireline network, our deployment is tracking to plan. Year-to-date, we've added 400,000 new FTTP and wireless to the home customer locations, and we're targeting 700,000 locations this year. Hoping to do better than that, while keeping within the same capital envelope that's what our current plan is calling for. We also had a good quarter from a TV perspective. We added 17,000 net new IPTV subs in Q2, as we continue to see that market mature and minimal new footprint growth. Alt TV continue to contribute positively to IPTV, as customers increasingly embrace the consumption of content on alternative platforms. In satellite TV, we continue to see a slowing in the rate of subscriber decline, net losses improved by more than 5% over last year to 14,000 and that of course helps from an overall revenue and cash flow perspective. Lastly, as it relates to slide six, while there is no specific reference to it, I think that it's worthwhile calling out for investors that our business markets unit continued to perform exceptionally well, with a fourth consecutive quarter of revenue growth, which is reflective of a growing economy, effective reprice management and increasing customer demand for fibre and for bandwidth. Although business wireline isn't quite yet EBITDA positive, we continue to see steady improvement in the rate of year-over-year decline. Turning to slide eight, Bell Media, as George said, a very strong quarter, Glen is going to go through the very strong financial performance with you, in a few moments. But, we have seen a continuation of positive trends on the TV advertising front, with a fourth consecutive quarter of year-over-year growth. Our top 10 advertisers spent 20% more than last year, and spending from our five largest online marketplace advertisers was up almost three-fold. CTV, once again, the number one network in the country for an 18th year in a row, and we secured a strong line up going into the fall season with 13 new shows, and more than 70 original English language programs in production. Notably, we were the only Canadian media company with year-over-year audience growth in all key demos, which speaks to the quality and breadth of our programming and on-demand content. TSN remain Canada's leading sports network and top specialty channel overall for the 2018-2019 broadcast year-to-date. In fact, TSN grew viewership in the second quarter by 21% over last year, supported by our broadcast of the NBA play-offs, including the championship run, as well as FIFA Women's World Cup soccer. The championship game for the Toronto Raptors was the most watched NBA game ever in Canada and the biggest broadcast of the year on any channel, with an average audience of 7.9 million viewers. Strong quarter as well for specialty entertainment TV, where viewership increased 16% over last year, and the final season of HBO's, Game of Thrones was the most watched season in specialty and pay-TV history in Canada, which helped to drive Crave linear and direct-to-consumer subscriptions to more than 2.7 million this quarter. So, really strong growth for Crave this year, with quite frankly unparalleled content available to consumers. Lastly, we're also really excited about our proposed acquisition of the French language conventional TV network V, and related digital assets. Although, it's a very small transaction financially by Bell standards, the acquisition reinforces choice for French language viewers. It will strengthen the Quebec television system and it highlights our commitment at Bell Media to provide engaging French language content on traditional and innovative platforms. And with that, I'll turn it over to Glen.
Glen LeBlanc: Thanks Mirko, and good morning everyone. I'll begin on slide 10 with a review of our Q2 consolidated results. Our financial performance in the quarter demonstrated a disciplined, focus on profitable subscriber acquisition, as evidenced by our continued healthy revenue and adjusted EBITDA growth across all Bell operating segments, margin expansion as well as higher earnings and free cash flow, all of which are consistent with our 2019 guidance targets, we provided in February. Total BCE revenue was up 2.5% year-over-year, which together with the favorable impact of IFRS 16 accounting led to strong 6.8% increase in adjusted EBITDA. Consistent with this growth and EBITDA, net earnings were up 8.2%, which drove a 9.3% year-over-year increase and adjusted EPS to $0.94 and we had a very strong quarter of cash generation with positive and higher year-over-year contributions from all three Bell operating segments. This combined with the decline in capital intensity ratio drove a 10% year-over-year increase in free cash flow in the quarter. Turning to the detailed financial results of our segments, starting with Bell Wireless on slide 11. Total revenue was up 3.2% on continued strong postpaid subscriber growth. A third consecutive quarter of positive year-over-year financial contribution from prepaid and a higher sales mix of premium handsets that drove a 5.2% increase in product revenue. Wireless EBITDA grew 9.9%, yielding a 2.7 point margin increase to 44.8%. This was driven by strong revenue flow through to EBITDA and a 1.6% decline in operating costs, which included the favorable impact of IFRS 16. And although we continued to maintain a low capital intensity ratio of 7.7% in the quarter, we did not slow down our investment on the deployment of small cells and increasing data backhaul capacity, as we prepare for 5G. Moving on to our wireline segment on slide 12. Total operating revenue increased 0.9% on combined Internet and TV growth of 4% and the fourth consecutive quarter of higher year-over-year revenue at Bell Business markets, as Mirko mentioned earlier. However, our overall growth in the quarter was moderated by the non-recurrence of revenues generated in Q2 of last year from the G7 summit and the Ontario general election, which totaled approximately $15 million, normalizing for these items, wireline revenue grew 1.4%. In terms of operating profitability and increasing broadband scale, improved business markets' results and stable year-over-year operating cost, that reflected the benefit of IFRS 16 as well as the savings realized from workforce reductions undertaken last year and other fibre related operating efficiencies. Adjusted EBITDA was up 2.1% this drove a 60 basis point increase in our industry-leading margin to 44.1% which provides more than sufficient operating leverage to fully cover our planned $2 billion broadband, fibre capital investments in 2019. Let's turn to slide 13 on media financials. As Mirko said, Bell Media had its best set of quarterly financials in a number of years, delivering outstanding revenue, adjusted EBITDA and cash flow growth in Q2. Total revenues up 6.4%, reflecting both higher year-over-year advertising and subscriber revenue. Advertising revenue increased 5.7% year-over-year on a fourth consecutive quarter of TV growth and continued out-of-home strength. Conventional TV saw improved performance, growing advertising revenue by more than 4% reflecting stronger overall customer demand. And specialty TV was up 12% over last year, on strong entertainment, sports and news performance, reflecting better audience growth, better pricing flexibility and incremental advertising from the Toronto Raptors championship run. Subscriber revenue increased 7%, reflecting growth in customer subscriptions, due to the broadcast of the final season of Game of Thrones on HBO this quarter, and the launch of our enhanced Crave streaming service last November. Adjusted EBITDA growth was exceptional, increasing 23.9% year-over-year. This was driven by the flow through of the strong revenue growth, combined with operating cost that with operating cost that remain largely flat year-over-year, and as the positive benefits of IFRS 16 was effectively offset by higher programming costs, due to the ongoing Crave content expansion. Adjusted EPS, slide 14 summarizes the main components of adjusted EPS which was $0.94 per share in the quarter, up $0.08 over last year. Higher adjusted EBITDA drove $0.13 of that growth, in addition, tax adjustments contributed positively to earnings totaling $0.04 per share this quarter. This is consistent with our guidance assumptions for 2019 that is calling for $0.07 of tax recoveries, down from approximately $0.09 in 2018. Adjusted EPS also reflected lower year-over-year losses from our minority interest equity investments, due in part from improved performance at MLSE because of the Raptors. These favorable factors were partially offset by an expected year-over-year step up in depreciation and interest expense due to the adoption of IFRS 16 accounting at the beginning of the year. In aggregate, IFRS 16 has an approximate $0.02 unfavorable impact on EPS in the quarter. Turning to slide 15, we generated $1.1 billion of free cash flow in Q2, up 10% over last year. This was driven by strong EBITDA growth and lower capital spending. This quarter's results also reflected higher interest paid, due primarily to the imputed interest on the lease liabilities under IFRS 16 accounting, and the reduction in cash from working capital resulted from the timing of supplier payments and higher accounts receivable, driven by strong advertising sales at Bell Media. We also took advantage of the favorable market conditions to complete two public debt offerings in Q2. The first is six years $600 million Canadian issuance and the second, a $600 million and 30-year US dollars debentures. These two new issuance effectively satisfy the refinancing needs of the near-term maturities, through to April of 21, and maintain our weighted average after-tax cost of debt at a historic low 3.1%, while increasing the average term to maturity to almost 12 years, from around 10 years previously. So, with year-to-date free cash flow of more than $1.7 billion, we remain on track to achieve our 2019 growth target of 7% to 12%. This together, with a positive financial outlook, as we look out to the end of the year positions us well, to maintain our dividend growth model into 2020. Let's wrap up on slide 16. We continue to leverage our advanced broadband networks and services to deliver higher wireless postpaid and residential wireline net customer additions in a financially disciplined manner, during a seasonally slower quarter, providing the foundation for sustained, financial performance going forward. Our consistently strong operational execution and favorable financial profile across all of our operating segments, as we move into the second half of the year provides us with considerable flexibility to execute our strategy and achieve our 2019 guidance targets, all of which I'm reconfirming here today. On that, I'd like to turn the call back over to Thane, and the operator to begin Q&A.
Thane Fotopoulos: Great. Thanks Glen. So, before we start the Q&A period, just to keep the call as efficient as possible, I would ask that you limit yourselves to one question and a brief follow-up, if you must, so we can get to as many in the queue as possible in the time we have left. So, on that Donna, we're ready to take our first question.
Operator: Thank you. [Operator Instructions] And the first question is from David Barden from Bank of America. Please go ahead.
David Barden: Hey, guys. Thanks so much for taking the questions. Mirko, welcome to the call. Tough to argue with the performance in the quarter. With strength across all the different units, I guess two questions if I could, one would be, how you guys would describe for us, the impact of the unlimited plan launch in 2Q and kind of the shape of the ABPU or ARPU that we're going to see in the second half of the year and into 2020? And then, I guess my follow up would be, just on the strength in prepay. If you could kind of do some performance attribution, and where you think the market strength is coming from, is it on the Lucky Mobile brand, the distribution platform, the pricing, the positioning, it'd be helpful to get some color on that? Thank you.
George Cope: Let me take the first one and Mirko will take the second one. So yes, as is, we had a tremendous quarter literally across the board. On the unlimited data plans been a lot talked about obviously. Clearly, this was not a move initiated by Bell in the marketplace, but one that we obviously followed, as we will always be competitive in the market. The impact on ARPU will all take time for us to all see. I think it's fair to say that structurally the change does ultimately moderate ARPU growth in the industry. From our position, this year, we believe we will -- and our outlook still continues to expect positive ARPU growth, this year. I would say this with the harmonization -- simplification of the rate plans across all carriers. The key point of differentiation which Mirko talked about, truly now becomes a network performance because actually and $0.01 makes that focus -- that brings that focus much more into the eyes of the consumer, and on that front as everyone knows we come out way ahead of the competitor who led this change, and think we're in an excellent position then to continue to move market share, and that's really my view on that. And then Mirko, do you want to maybe pick up the second one?
Mirko Bibic: Sure. Hi, David. On the second one, I think, shows you - clearly the results show you how competitive we're becoming in the prepaid segment. I think Lucky Mobile certainly the brand is a big driver of that performance. We certainly have a distribution advantage there and the Dollarama relationship, which as you know is an exclusive relationship was working really well, and fundamentally that brand, Lucky Mobile is resonating with consumers in that segment of the marketplace.
David Barden: Great. Thank you, guys.
Operator: Thank you. The next question is from Jeff Fan from Scotiabank. Please go ahead.
Jeff Fan: Good morning. Thanks for taking the question. George, congrats on a stellar career, been a pleasure working with you and Mirko congrats on your new role. My question to start off with is also on wireless, you've made some recent moves, I guess in reaction to what your competitor had done unlimited. First, you came out to match the 75, but then it went up to 85. And then on the equipment financing, it looks like you are keeping that option for customers available. So, I'm wondering if you can just talk a little bit about the rationale behind those moves. And then maybe a quick follow-up for Mirko, if I may, just first time you on the call, so wondering if you can just give those on the call and investors some early high level thoughts on maybe areas that you may think about focusing on? Thanks.
George Cope: Let me pick up. First of all, the questions on pricing in the marketplace, competitive market will always be competitive and our rate plans will reflect that, and have in terms of our move to the unlimited data plan. So, that's really what I'll say around that and addressed it earlier. And then, in terms of moving into the equipment financing programs in the market where, folks are getting the handset, then paying for it over time, again, that was another development in the industry, which we will clearly participate in, we're in that space now. We think one of the programs to have that financing over three years is an intelligent move for the consumer market, and one that you'll probably ultimately see us roll out with, as well as, we're currently at the 24 months. And part of this from our end, of course is just reacting at a pace to the chase -- pace of the competitive change there. And then, in terms of having both choices that's just something where it will reflect on as the market stays competitive. Some competitor have gone one way, and one of the competitors has got another way and we're at this point, making sure consumers have maximum choice, and we'll see how that unfolds. And then over to Mirko - by the way, thank you for the comments. You do have to put up with me on one more call everybody, but I'd really appreciate the kind comments Jeff, but over to Mirko on what he's thinking next year, and my instincts tell me he's going to tell you about that next year, not today, but over to Mirko.
Mirko Bibic: Clearly. Right, George. So Jeff, thank you for the comments as well. Look, there'll be lots of time next year, when I take over as CEO to discuss my vision, and I'll say one high level thing right now, which is we will continue on our quest to be the broadband leader in Canada. So, that's clear. I'll leave it at that.
Jeff Fan: Thank you.
Operator: Thank you. The next question is from Simon Flannery from Morgan Stanley. Please go ahead.
Simon Flannery: Great. Good morning, and thanks very much. Congrats Mirko and best of luck George, it's been great working with you. Maybe following up on that last point, Mirko on broadband, you've continued to make great progress in pushing on fibre-to-the-prem. Can you just talk about what sort of speeds you're seeing people taking, and what sort of penetration levels you're getting on first pass, and as that's been in the market for a couple of years. So, what is the potential as we see that program come to completion? Thanks.
Mirko Bibic: As you heard from George, we have strong coverage now at over 50% of our broadband footprint and that's going to continue to grow, and we're seeing strong demand where we do have fibre, again both George and I mentioned the growth in our fibre footprint. In that footprint, we have more subscribers. So, more subscribers in fibre-to-the-home and in that geography where we do have fibre, we're seeing an increasing mix of subscriber take up on the higher-speed tiers. So that's all very good, as well we also considered our wireless to the home program as part of our broadband next generation broadband deployment and they are too - while, early days on wireless, we're seeing strong customer demand. Quite pleased with the response, and it's clearly the service meets the need in those areas, which we're more than delighted to fill. So, strategy is working, strong execution and we're quite pleased with the progress.
Simon Flannery: Thank you.
Operator: Thank you. The next question is from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my questions, and I also want to offer my congratulations to George and Mirko. My question is on wireless in seeing both in Q1 and Q2, pretty good wireless EBITDA growth, I mean even if I kind of move out IFRS 16, I think in Q2 I get a number that's closer to 7% on 2.5% service revenue growth. I was wondering you can offer a little bit more color on that. I was wondering, if there is any movement on the equipment margins or perhaps any additional cost reductions that would have facilitated that? Thanks.
George Cope: Just a couple of quick things on. I talked about it last quarter, it's so hard to see now because of all this -- the accounting changes the last few years, so in order to invest in those just follow the sources and uses and you can figure it all out. But underlying service revenue growth for us has been a very positive the first six months of the year. As Mirko just talk about, the change of trajectory on prepaid, small in one sense, but as we've said on a couple of calls much more positive, in another sense because it takes something that's negative and it makes it into a positive. And we've seen again a blended improvement in our ARPU as clients have migrated to more and more smartphones as Mirko just mentioned. We did do a cost restructuring last year at the end of the fourth quarter, and that was across the entire organization and we're really trying to be as careful as we can with the cost of upgrades etc. through the cost structure. So, a lot of things that we weren't exactly okay with last year, but not totally thrilled with. We think we've got some of that wind at our back again, on some of those key metrics.
Aravinda Galappatthige: Great. Thank you very much.
Operator: Thank you. The next question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Yes. Thanks very much. Coming back to the strength in broadband, which is clearly impressive. Can I ask about the video component of that? Do you still think we should look at video subscribers as a key performance metric going forward, or is it really just a bundling tool to help you get broadband? And, I'd note in particular in your recent back-to-school offer, do you want to get Internet customers, but you throwing Alt TV for $10. I can't imagine that's profitable video subscriber growth, but I don't really care it's driving better broadband, so bad, it's all good by me, but do you really think video subs is a volume indicator, is a key thing you should be pushing on going forward?
George Cope: Yes, that's a great question. I'd say we would still say yes absolutely for sure. Promos -- I won't call them promos other than get everybody out to understand, we don't do anything that doesn't make money, so that's for sure. And some of those old programs would have just conventional, but no operating cost to us. So, you're absolutely on the right track that underneath all of that, everything we do, of course is to drive broadband subscriptions. We've talked about this for a long time that the value proposition on the broadband from fibres where there's going to be more revenue growth than we're going to see across our overall video platform. But our strategy evolved in IPTV is to continue to take share, and then use the Internet using the video as that pull-through, but I still think it's an important metric for us, and one that we're paying a lot of attention to and there is no doubt TV without set-top box with all the different cost structures doing, what we want it to do and we're learning as we go. I mean, we just got to keep trying to drive that and of course, don't forget, we're the owners to Bell Media. We bring eyeballs to the TV business that helps Bell Media on the advertising side. And so it's still important to us.
Vince Valentini: And seeing as you mentioned advertising, I'll try to avoid things wrapped with a follow-up, it's somewhat linked - on the Bell Media side, you're lapping, you've said four quarters in a row of positive TV advertising revenue growth. So, when you get into Q3, you'll be lapping a quarter where you're already positive last year. Can you give us any sense of does that make year-over-year comps tough than you may not be able to keep growing TV ad revenue, or do you have some sense that the market is still strong and bookings at this point would indicate you can maintain that positive trajectory? Thanks.
George Cope: Well, let's bring Glen into this also, he's got to work this morning.
Glen LeBlanc: I figured you'd put me to work at some point. So, hi. Vince, good morning. Look, we're delighted with our performance in the media business and our funnel looking forward, very, very strong, advertising continues to be strong, Mirko mentioned our line up in the fall very, very strong. Now, in the quarter, we just experienced 6.4% revenue growth, truly outstanding. A portion of that -- about third of that propped up by just the incredible run from the Raptors. So, do I think the future is going to look as rosy as the past? Probably not, but are we continue to be bullish and extremely excited about our media operations and its performance? The answer to that is a resounding, yes.
Vince Valentini: Thank you.
Operator: The next question is from Maher Yaghi from Desjardins. Please go ahead.
Maher Yaghi: Yes. Thanks for taking my question. Again congrats Mirko and George. I wanted to just go back on your discussion about wireless ARPU growth. When you talked about ARPU, eventually turning positive or are you referring this about the ARPU, including the GoC government contract or excluding that contract?
Mirko Bibic: While our ARPU includes everything - we have had - Maher, and again the question, we've got ARPU positive year-to-date, we expect to see ARPU growth in the second half of the year, continue to be positive and we'll see what that amount is. So, I'm not sure, did we get the question right or maybe?
Maher Yaghi: Yes. No, no I just wanted to just understand exactly, I mean what your reference point is.
Mirko Bibic: Okay. All of our numbers, and all our subs and our metrics, which is a little different I know the other people on how they [Technical Difficulty]
Maher Yaghi: Okay. Just wanted to clear that up. So, when you look at the wireless market with all the changes that we are seeing, you know, a lot of the companies are still trying to find the place where they are going to sit eventually. How long do you expect the impact on ARPU negative - the negative impact on ARPU to take place over the next couple of quarters until we see the full implementation of the plan in your ARPU numbers related to overage? And in terms of profitability, how should we track your performance in terms of the - if you don't have a full removal of the subsidy model from your base, do you think you can offset the overage impact on your top line, profitability wise.
George Cope: Okay. I guess, what I'm going to say is what I said almost at the beginning, which is we think people ought to focus attention on our cash flow generation off the entire enterprise, off the wireless business. We'll be competitive with what the peers are doing in the marketplace. And I talked about there'll be some moderation of ARPU as a result of this change in the industry, but we're not going to go beyond what I said, obviously this year on ARPU and we've got to see how the market is competitive, and you see us responding in the market. And then on the other - on the installment programs, that could turn out to be a positive for investors and consumers, it could turn out to be neutral. We're just going to have to see how it unfolds. There's a lot of experience in the US, to take a look at now that we're in that space, and we'll adjust accordingly again, to make sure we're always generating, which we have historically leading free cash flow in the wireless space. That'll be our focus.
Maher Yaghi: Okay. The reason I'm asking is, is just trying to get your sense about the end game in terms of moving the market to an unlimited plan. There is always going to be some arbitrage for consumers to take the unlimited plan, and try to get subsidy from the companies that are offering these unlimited plans. So, I'm trying to understand if both can be at the same time implemented and still not impact the bottom line? Just trying to understand it from your perspective.
George Cope: Well, it's what I said earlier. First of all, the movements on unlimited plans, we think puts an enormous focus on your network, and your network performance and our superior network now, should turn out to be even that much more of a competitive advantage going forward. And then I think as Mirko has reminded me, there is a general view that certainly within the call centres, call lengths to drop, we should see some of that just because again for a customer buying, it's a clear rate plan -- less rate plans in the market. But, we haven't changed our guidance today, as a result of any of this. We're very positive on the outlook, but I think some of these questions around this, I think you probably ought of direct to the companies that are leading this stuff and we're always going to be competitive in following it.
Mirko Bibic: Right. And Maher, I would say that you've got in one swim lane, you've had the installment plans, in the other swim lane you have the subsidy plans and the price points are different between those two swim lanes.
Maher Yaghi: Okay, thank you.
Operator: Thank you. The next question is from Tim Casey from BMO. Please go ahead.
Tim Casey: Yeah. Mirko, could you just walk through your comments, again on what you're talking about with respect to business revenues. And, I think you're seeing EBITDA growth is not yet positive, but declined. So, could you just sort of walk through what you're seeing on the business side and what your expectations are into next year. And could you could you frame for investors your perspective of the regulatory environment now? I mean, in the context of a general election coming, where sometimes it can get a bit noisy and then into the wireless review next year? Thanks.
Mirko Bibic: Okay. So, on business markets as I mentioned and as you mentioned, as well revenues are up year-over-year, and that's a fourth consecutive quarter of positive revenue growth. What we're seeing is basically strong performance strong execution in the fibre strategy working and strong demand in that customer base for bandwidth, and expect that to continue. I mean, essentially as I mentioned in my opening remarks, we're seeing a slowing rate of decline on the EBITDA side, so positive trajectory. On regulatory, the big issue coming up as you mentioned, is the MVNO proceeding with a hearing in January and here's what I'll say; we have the best speeds, globally - in Canada, we have amazing coverage, we have intense price competition. Clearly, we've been talking about some of that on the call here. And we are on the cusp of 5G, and investments that, that will require, and we have the regional carriers doing what the regional carriers are doing. And we have also talked about the prepaid segment, which has gotten a whole lot more competitive, and certainly meets the need of that lower cost segment in the marketplace. So if you put all those things together, say government and regulators, ought to factor all that in, quite seriously and not interfere with a market that's functioning, really, really well. So, I'll leave it at that on the regulatory front as being the biggest item coming up.
Tim Casey: Thank you.
Operator: Thank you. [Operator Instructions] And the next question is from Drew McReynolds from RBC. Please go ahead.
Drew McReynolds: Yeah. Thanks very much, and just reiterate congrats to you George and to you Mirko. Two follow-ups for me. First maybe George get your view - you've talked a lot on the potential impact of unlimited [indiscernible]. I know you're not kind of steering things here - out there in the market. But, there's been a lot of discussion on whether what everyone is observed and witnessed in the US, as a relevant kind of benchmark or blueprint for what will unfold here in Canada. I'd love to get your high level thoughts on that one. And then second, maybe getting Glen back into the conversation, Glen just, I know your pension funding is fully funded, just wondering if and when you're kind of crossing that threshold to lower annual pension funding? I think you've quantified that as potentially a $200 million free cash flow at tailwind. Thank you.
George Cope: Yeah. First of all, thank you for the comments, from both Mirko and I. I think on the unlimited and on the EPPs [ph], we've made our comments, we'll see how the market unfolds, but there's no doubt. I mean, other markets that have moved to both these types of structured programs, there are lessons to be learned, and you can rest assure that we're obviously looking at those to make sure if there were positive things done, we make sure we try to duplicate and just things that people wish they hadn't done, we'll obviously try to steer away from those. I mean, I know they're common sense answers. But, at the same time that's really what we're going to have to do, and want to do within that space. So, we'll stay competitive, we've got a great strategy on prepaid that's got growth. We've got a leading postpaid network, and we've got the lowest capital intensity in wireless. So, we think we're in a tremendous position for whatever the market brings us.
Glen LeBlanc: Good morning Drew, it's Glen, talk a little bit about pension funding. As you know, for years, we've predicted that a rising interest rate environment would put us in that enviable position of having to take contribution holidays. And although, we continuously see ourselves migrating towards that path, the solvency discount rates as fast as they start rising, slip away and go the other direction on us, which I think has been my entire career I've been saying that. Great news on our pension funding, is despite the fact that solvency discount rates have actually come down since the last six months, our pension plans still find themselves in a fully funded position, and that's really a product of the asset mix. Great returns that we're experiencing in that fund. So, I couldn't be happier to find ourselves north of $100 million, ultimately getting to that data of having the contribution holiday of up to a couple of $100 million is really a product of discount rates, and unfortunately they slipped on us this year. So, let's hope for a rebound.
Drew McReynolds: Okay. Thank you.
Operator: Thank you. There are no further questions registered at this time, I'd like to turn the meeting back over to Mr. Fotopoulos.
Thane Fotopoulos: There is a question, I just one.
Operator: Thank you. The next question is from Adam Shine from National Bank Financial. Please go ahead.
Adam Shine: Thanks a lot. Thanks for squeezing me in, so congratulations to both of you as well. Maybe, George, one issue around a topic that we see a lot of headlines about, as you could imagine is the Huawei issue, and you've yet to put out your RFP, I presume for the next phase of 5G. But, at some point as we watch the rhetoric from this government that could be the same government coming out of the election, it doesn't seem to be great quick movements on this issue. Can you speak to your views on when you need to get going with this, when a certain amount of urgency sort of sets in beyond the fall, in regards to moving forward on that RFP?
George Cope: Yeah. If we look at the timing and -- first of all, we of course follow whatever the guidelines are in the country and we've talked about that in the past, so we ought to see how that unfolds. We clearly listen to some of the public announcements from Ottawa, and obviously we have dialog -- very, very positive dialog I would say of sharing proper information between ourselves, Canadians and also the government. We should -- we have an expectation that post the election we'll get clarity, and we think that works within the timing of some of our plans around appointments of who the vendors would be going forward. So, some resolution to this shortly after the election, which fits within our strategic time frames, and we'll work on that at the end of it. And as we've said before -- however this unfolds, we see it not having a material impact on us, although we love the fact that having multiple vendor choices, but we'll follow whatever the rules are in the country.
Adam Shine: Super. Thanks a lot.
Operator: Thank you. There are no further questions. Off to you Mr. Fotopoulos.
Thane Fotopoulos: Thank you Donna. Yes. So, I think that the tightness of the Q&A is definitely a reflection of the strength of our results this quarter, and the clarity and transparency of our disclosure, I'd like to think. So, on that, thanks again to all for your participation on the call. I will be available throughout the day as usual for follow-up questions and clarification. So thanks to all. Have a great day.
George Cope: Thank you.
Operator: The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.